Operator: Good morning and welcome to the América Móvil Second Quarter 2017 Conference Call and webcast. All participants will be in listen-only mode. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Daniela Lecuona, Head of Investor Relations. Please go ahead.
Daniela Lecuona: Thank you. Good morning, everyone. Thank you for joining us this morning. We’re going to be discussing our second quarter results and we have on the line, Mr. Daniel Hajj, our CEO; Mr. Carlos García Moreno, CFO; Mr. Oscar Von Hauske, COO; and also from Telmex, Mr. Carlos Robles, CFO.
Daniel Hajj: Thanks Daniela and thank you everyone for being in the call and I want to pass to Carlos to make a summary of the America Movil second quarter of 2017 financial and operating report.
Carlos García Moreno: Thank you, Daniel. Good morning everyone. Well as it is customary we have a web presentation for those who want to see the slide show about our company in this presentation. In the second quarter, financial volatility in Latin America became more subdued in line with the situation in the global markets, with world economic growth on a slightly improving path. The U.S. economy continued to hold up and those of the European Union and China showed clear signs of strength. The appreciation of the Mexican peso vs. the dollar observed in the first quarter continued in the second one, whereas the Brazilian real, the Colombian peso, and the Argentinean peso depreciated versus the dollar, and the peso as well. The first one mostly on account of new political pressures in Brazil, and the other ones Columbia and Argentina reflecting for the most part a worsening of their balance of payments position. In the second quarter our wireless subscriber base increased by 215,000 subscribers, having added 565,000 postpaid subs, including 166,000 in Mexico and 124,000 in Brazil, and disconnected 350,000 prepaid subs. On the fixed-line platform, we obtained 209,000 new broadband accesses in the quarter, most of them in Central America, Colombia, and Brazil. Our postpaid base was up 5.1% with Chile’s increasing 17.8%, Brazil’s 10.0%, Colombia’s 7.7%, and Mexico’s 6.4%. Broadband accesses were up 5.7% year-on-year. Our second quarter revenues rose 6.9% from the year-earlier quarter to nearly 250 billion pesos, with service revenues climbing 8.1%. EBITDA rose up 13.7% year-on-year to 69.4 billion pesos. The increase in peso terms will take the appreciation relative to the prior quarter over the Mexican peso vis-à-vis most of the solid operating currencies, as I mentioned before. At constant exchange rates, it is important, at constant exchange rates service revenues were up 4.2% year-on-year, their best performance in 10 quarters, and EBITDA shot up 10.4%, marking its strongest climb in the last five years. In several instances, the revenue base has been rebuilt; the impact on EBITDA has been proportionately greater. Service revenue growth was driven by mobile data revenues, which were up 21.8%, with fixed broadband revenues increasing 7.5%. Mexico and the South American block, particularly Colombia, Argentina, Chile, and Peru were the main forces behind the strong expansion of service revenues. All operations, save one, presented ARPU increases relative to the year-earlier quarter. Our service revenues were denominated in 20 different currencies with the Brazilian real accounting for 25%, the Mexican peso for 22%, and the dollar for 21% of the yearly 27%, if the currency factor is all considered. The Euro accounts for nearly 10% of our revenues. The EBITDA margin stood at 27.8%, up 0.7 percentage points from the prior quarter and up 1.7 percentage points from the year-earlier quarter. EBITDA margins increased sequentially in practically all of our operations with only two exceptions, but EBITDA margins were up even though the second quarter [indiscernible] weaker than the first quarter because of the stronger sales that we had for modern day [ph], in particular. Substantially all our operations observed sequential increases in EBITDA, with very significant moves in Peru, 14%; Chile, 11%; and Argentina, 7.5%. In Europe, Mexico and Colombia the quarter-over-quarter rise was 5.8%, 2.7%, and 1.9% respectively. So that means in all major operations we had sequential increases in EBITDA, absolute terms. On the following chart, on Mexico, Columbia, Chile, and Peru, those people that are watching the presentation can see the acceleration of EBITDA growth that has come about with the recovery in revenues. Our operating profit increased almost 21% from the year-earlier quarter to 31.2 billion pesos. After our comprehensive financing costs of 13 billion pesos, it helped bring about a net profit of 14 billion pesos in the second quarter, which was 86% higher than that of the year-earlier quarter. We continued our efforts to reduce our leverage, with a net debt reduction of 27 billion pesos in cash flow terms in the second quarter. Our outstanding debt has come down from 630 billion pesos in December to 550 billion pesos in June, which is a 12.5% decrease, which reflects first and foremost our debt reduction efforts, but also the appreciation of the Mexican peso versus other currencies in the period. Our net debt to EBITDA ratio stood at 1.9 times at the end of June, after accounting for our derivatives position and the equity credit of our hybrid bonds. Our capital expenditures totaled 51 billion pesos in the first half of the year, whereas our acquisitions reached 3.6 billion pesos. After adjusting for dividends received from KPN, net shareholder distributions totaled 734 million pesos in the period, mostly by way of share buy-backs. Our cash flow from operations was almost entirely consumed by our capital expenditures and our net debt amortizations. With that I would like to pass the floor back to Daniel and Q&A to session begin. Thank you very much.
Daniel Hajj: Thank you, Carlos. I think we are going to start with the Q&A please.
Operator: [Operator Instructions] The first question comes from Amir Rozwadowski, Barclays. Please go ahead.
Amir Rozwadowski: Thank you very much and good morning folks. I was wondering if we could dive in a bit more in terms of the competitive landscape with respect to your Mexican wireless business. When we look at sort of ARPU trajectory, it seems as though ARPU continues to improve at least relative to our expectations, can you provide a bit more color in terms of how you see the competitive landscape shaking out when it comes to competitive pressures? And then maybe a quick follow-up, we have all seen some of the news with respect to the litigation when it comes to the constitutionality or legality of the interconnection -- questions around competitive interconnection piece and so forth, you know any thoughts in terms of sort of your positioning, what type of benefits that could accrue to the business that should be a case working your favor? Any color along those lines would be helpful. Thanks very much.
Daniel Hajj: On the zero interconnection rate, I just want to tell you that since 2014, we filed some amparos injunctions against the certain articles of then recently in telecom and broadcasting law. Since we strongly believed that such articles including those related to the so called zero interconnection rate interfere with the constitutional reform of 2013. We understand Telcel amparo's filing in 2014 are set to be resolved shortly. All thought at this point that is not specifically announced by the Supreme Court. Once resolved, we will communicate the outcome of soft challenges and the effect of the resolution, so that more or less what I can say about that there is nothing else that we can talk at this moment. On the landscape of Mexico, my view is, I think to start on that, I want to tell you that the rates are very low in Mexico as we now increased [indiscernible] in postpaid in all 2016. We have been reducing all the rates. The rates today are very low in Mexico. I think since the last 3, 4 months, things are a little bit more stable. No more reductions on rates. Even still some of our competitors are subsidizing still a lot, some of their handsets. But what is very important is that in my view, the networks are very important and the cost of medical [ph] centers and all overall is not only in Mexico or about rate, it is important the service that you give to the customers, and at this point, I think Telcel is the superior brand, a very good recognition, very good distribution, good quality. So, I think that our customers are well satisfied with our service and it is what we have been seeing for the last year. People are preparing to stay with Telcel than moving to other companies. Data is improving a lot. The rate of data is growing very fast. A lot of Prepaid’s are moving to Smart Phones. So they are starting to use more and more data, and with the network, the coverage, and everything that we are having as the people are staying unhappy [ph] with the services, it is more or less what I can see, still as I told you since the beginning the rates are too low in Mexico, very low in Mexico. So, I think the lowest by far in Latin America. Other things in my view about interconnection and zero rate, what doesn't make any sense for me is that interconnection today in Mexico is two times higher than the average price that we see in the market. So, it doesn't make any sense that the interconnection that we are paying is more or less 2 times higher than the average price that we see in the market. So those are my comments and let’s see what the Supreme Court is going to define.
Amir Rozwadowski: Thanks very much for the additional color.
Daniel Hajj: Thank you.
Operator: The next question comes from Richard Dineen, UBS. Please go ahead.
Unidentified Analyst : Hi, thanks for the question it is actually Maria [indiscernible] on behalf of Richard. You’ve obviously done a great job reducing leverage, but with CapEx sales around just 10% we would like to know whether this might rise a little in years to come or if you think that 10% is sustainable going forward in your view.
Daniel Hajj: Well I think what you are saying, the first half is partly reflecting the seasonality in terms of the execution of CapEx, it happens every year, it is not linear. I think the guidance that we have given for the year is that CapEx in the neighborhood of $3.5 billion dollars so you can come out with your numbers, but it is obviously not a 10% of sales number, it is higher than that. But again you don't like too much of the seasonality in the execution of the CapEx plan.
Carlos García Moreno: And what we want and I think with this more flexibility that we have in terms of our balance sheet, the things are getting much better as Carlos said, we are 1.9 times debt-to-EBITDA, so we are returning to the numbers that we like. So we have more flexibility to invest where we see opportunities to have the best networks, to have the best coverage, to give the best speeds in data. So when we have more flexibility -- we still don't know what we're going to do next year, but we don't have any change for this year, but we have more flexibility and that is good.
Unidentified Analyst : Perfect. And then as a follow-up question, if you could please share with us if you have seen any developments in the local loop unbundling and opportunity with the MVNOs that would be very helpful? Thank you very much.
Carlos García Moreno: In the MVNOs I think there are three or four MVNOs, I don't remember exactly as to where these [indiscernible]. MVNOs working here in Mexico with us and they are buying following the rules that we target with EFS and I think in terms of the MVNO it is okay. They are growing and that is more or less what I can say. In terms of the local loop I don't know if there is some comment.
Daniel Hajj: Also in the local loop unbundling there are about other operators using it and we are providing those services as [indiscernible]
Carlos García Moreno: So there are five operators using the local loop of unbundling.
Unidentified Analyst : Perfect, thank you very much.
Carlos García Moreno: Thank you.
Operator: The next question comes from Walter Piecyk, BTIG. Please go ahead.
Walter Piecyk: Thanks. Dan I know you have seen a lot of good ARPU growth presumably from all the beta growth that you are seeing, but I was noticing that in Brazil, the ARPU was down 3% sequentially, is there anything different happening there in Brazil, as far as how people are using the product or how pricing is working the market that might have explained that kind of sequential decline in the wildest ARPU there?
Daniel Hajj: Yes, I think let me talk a little bit about Brazil, okay. On Brazil, I think we are doing very well on the fixed line as the TV fixed and broadband I think we are doing well. We are reducing our growth because the economic situation that is in Brazil, we don’t want to grow and then with this economic situation have expenses or disconnection, so we have been very careful at this moment with the growth of the TV and broadband, but it is still growing and maintaining market share in the - let's say in the wireless side, in the wireless we are doing very good on contact, contact means that postpaid that doesn't have any limits we are doing great. We are growing and we are performing very well. Even in prepaid, we are also growing our revenues. We stop decreasing and growing the revenues. So, I think all overall we are performing good. Still in Brazil it is difficult situation on the political side and it doesn't help us on the economy of the country, but I think we are making the investments. We are trying to reduce cost, making all the synergies, it’s not from one day to the other one, but we are performing, we are growing our EBITDA from last year, more than one point. Still a lot of unemployment in Brazil and the other important issues, if you divide the two markets, consumer and corporate, I think on consumer we are also doing very good, but on incorporate we are doing good, but the prices on the corporate side has been going down very flat. So with these things, companies try to get the best of that sort of competition is very intense and the competition is very intense on all the corporate market and well that makes the revenues with the same customer are decreasing, but Oscar can help us to make more comments on Brazil, Oscar I don't know if you have something else.
Oscar Von Hauske: Sure. As you mentioned I mean when you look at total market, the total market is just shrinking a little bit in the fixed world, but when you do they breakdown the revenues, we are doing pretty well in fixed broadband because we are 17%. So we have been working ARPU board in order to move [Audio Gap].
Operator: The next question comes from Alejandro Gallostra, BBVA. Please go ahead.
Daniel Hajj: Sorry, sorry, sorry. Oscar something happened here. Yes, you can tell Oscar.
Oscar Von Hauske: Well, as I mentioned, I mean when you look at the total fixed market it is shrinking, so when you make the breakdown of the revenues we are doing pretty well in fixed broadband. I mean we are doing more than two digits; we are going like 17% accumulated agency revenues. In PayTV we have been having a lot of disconnection mainly in satellite TV in the low end of the market, but we have been working and increasing the ARPU in all the platforms in PayTV. The main impact that we have is like what Daniel mentioned, we have lot of price erosion in the enterprise market, given the economic situation. And secondly the voice traffic has been decreasing very importantly. So when you add all, the market is shrinking in Brazil, but the way that we are approaching the market is to improve the ARPU in all the products. And in the enterprise market we are complementing the offering with IT services in order to compensate the price erosion that we are suffering in Brazil.
Daniel Hajj: Thank you Oscar and just to finalize your specific question, I think the ARPU in Brazil is growing from the second quarter of 2016 that we have 13 real to second quarter of 2017 to 15 real. So the ARPU in Brazil is growing 9.1% year-over-year. So, I don't know why it is mentioned that is reducing, the ARPU is growing in Brazil.
Walter Piecyk: Yes, I think I was mentioning sequential and not year-over-year, but that is fine. But just one other question for Carlos. The debt leverage of the company is now below two and if you look at the share repurchase you guys did in 2013 and 2014 and 2015 very high, it obviously slow down in the last four quarters or so, would you anticipate now that your leverage is at that level and your operations are performing so well that maybe we see some more share repurchase going forward?
Carlos García Moreno: Well certainly you think that that possibility up for next year. I think that we are still set on rating to 1.5 times net to net debt-to-EBITDA. I think it is something that, it is something that we should be able to achieve in the next three quarters or four, and I think once we want, I think we are open to other users of broadcast.
Walter Piecyk: Great. Thank you, Carlos. Thanks Daniel.
Carlos García Moreno: Thank you very much.
Operator: The next question comes from Alejandro Gallostra, BBVA. Mr. Alejandro your line is open.
Alejandro Gallostra: Hi, good morning Daniel, Carlos, and Daniela, thank you very much for taking my question. Carlos you just mentioned that you have leveraged target of 1.5 times net debt-to-EBITDA for the next two to four quarters, is that correct?
Carlos García Moreno: No, the target is the 1.5 and – what I see it as a - I expect that we should be able to get to that target within the next three or four quarters.
Alejandro Gallostra: Within three or four quarters, good. And I was wondering if you have a plan to hedge your debt or interest expenses at the current FX rates, or if we should expect profits to reverse if the Mexican peso depreciates again?
Carlos García Moreno: Well, I think you cannot be expecting for the currency to depreciate. So appreciate the thing that we have planned to do some rebalancing our positions every time as the mix of revenue changes, I think as you just saw in the presentation that America Movil has very [indiscernible] denominated in 20 different currencies. And the most important ones, 50% of how revenues are, the pesos and the real. So we have another 50% that is mostly dollars and euros. And so our debt exposure very much reflects this kind of revenue mix that we have, that’s what we aim to have.
Alejandro Gallostra: Okay. So, I understand you're not engaging into significant currency hedging at this time?
Carlos García Moreno: We do rebalancing of procedure from time to time, yes.
Alejandro Gallostra: Okay. And my second question is, actually, because I would like you to have a better understanding of the driving forces behind the strong ARPUs, is it simply the exponential growth that we are seeing in wireless data, perhaps a link to high Smart Phone penetration or maybe the implementation of shorter expiration times in prepaid cards as well as the strategy that you recently implemented in Mexico?
Daniel Hajj: Well what we are trying to do all overall in all Latin America is to try to drive the cost to have more data, more minutes at the higher ARPU. So it is what we are doing focusing a lot on the postpaid segment, driving promotions on the postpaid side and in the other way in the prepaid, yes what we are doing is, we recently don't do anything, but at the beginning of the year we got some dates on the prepaid cards in Mexico, and well that’s also part that is helping to drive ARPU higher, but our board is now making some promotion, driving the customer to get a better plan and spend a little bit more, but having much better, a lot more data, more minutes and other value-added services, what we’re trying to do, all around Latin America.
Alejandro Gallostra: So Daniel, are you also loading the expression times in prepaid cards in the rest of Latin America?
Daniel Hajj: No, we are not. As I remember in this quarter we don't reduce any expiration date in the rest of Latin America, no.
Alejandro Gallostra: Is it something you plan to do in short term?
Daniel Hajj: I don't know if we want to do that, maybe we can have, what we are doing a lot is making some packages okay. Instead of reducing, we give packages to the people in the prepaid with better terms, better conditions, more minutes, more data, and to spend a little bit more, and people is driving to use those packages. So, instead of having, let’s say 100 Megs for 30 days, maybe you can have 300 Megs for seven days in a package at a better price than the other one. So those types of packages are the ones that are driving higher ARPUs.
Alejandro Gallostra: Thank you, Daniel and Carlos for your color.
Daniel Hajj: Thank you very much.
Operator: The next question comes from Fred Mendes, Bradesco Bank. Please go ahead.
Fred Mendes: Good morning everyone and I actually have two questions, I mean the number one if you can get back to Brazil, you changed the leadership of cloud in Brazil in April and on May you are announcing aggressive price strategy, pricing strategy particularly in the people speed segment. So just want to understand about what terms of - in terms of your strategy, what can we expect in Brazil and of course in price for the next quarter? That will be my first question. And then my second question is, look at the margin of the sales equipment, it improved versus the average of the last quarters. Also when you look at [indiscernible] will present in few countries in terms of the EBITDA contribution, we see an increasing sale of equipment and is still an improvement in EBITDA margin. So just wanted to get a better understanding of your dynamics and then on the same line just to understand how much of that is a chain commercial strategy that you're giving last subsidy and how much is the effect impact considered of course the maximum peso versus the dollar.? Thank you.
Daniel Hajj: The first one is Brazil postpaid. Well we get to a little bit more aggressive, but it is not so much aggressive, I think we are doing some on limited voice in Brazil in postpaid. There is something that is coming, we have it in the really higher plans, we reduced to some lower rent plans. And I think it is working very good, people like that and it is on the reasonable prices. It is not that we are dropping the prices down. So these promotions are good promotions driving higher ARPUs and people is happy with what we are presenting. So for us I think it has been a very good promotion and people is coming in Brazil. Today, in number portability we have one of the highest number portability that we have in Brazil at this moment. So people is preparing that at this moment these type of plans and what were the promotions that we are putting in the markets. So that is one thing. Second, what you see in the margins in the subsidies and margins in all the handsets and Smart Phones, feature phones everything, the strategy is and I think it is going to be all around the world, the strategy is not to subsidize, so we think that subsidies are in prepaid where you never know how long the people is going to stay with you. So it is very difficult to see what would be the subsidy if you do not know how much is, going to a consumer, or how long he is going to stay with you. So we are trying to take out as much as possible the subsidies on the prepaid segment, and I think as the market is giving all that possibility we are doing that. So depends on not on the competition in each country, but our strategy in the next year is to take out subsidies in the prepaid side. In the postpaid side, you know where you have a contract. You know where you can subsidize, but also the strategy could be to reduce those sources. Those sources - those subsidies in the postpaid side. So that is the strategy on America, I think that’s the right strategy for all the telecom companies because to give big subsidies and these type of prices that we are giving in all Latin America doesn't make any sense. So, in terms of margins and subsidies, I think we are going on the right direction and the last question I don't get it, can you ask again, please.
Fred Mendes: No Daniel, I think you answered both questions. If you just allow a quick follow-up on the first one about Brazil. You mentioned that portability’s are our doing quite well after the change. So can – is it right to say that it's better at this point, you find your prices are quite competitive and you should not see, I guess any moves anymore moves, I mean offer more data for the same price you think you are already competitive you shouldn't see any change in the short-term at least for now.
Daniel Hajj: No, I don't know I cannot say anything because I don't know what does my competitors are going to do. When you do things internally on the company you can plan for 2, 3, 4, 5 months one year and now when you have, but when the market is open and you don't know what is going to do your competitor tomorrow or the other competitor in two months or increase [indiscernible]. Well I cannot assure you that we are not going to, but most what I can tell you is that we are going to be a competitive and we don't want to grow being not profitable, but we want to be competitive in the postpaid market. Remember something that it is very important. Our network today in Brazil is the best network in terms of quality. So we rank the best network in the quality in Brazil. So we have very good speed, we have very good data, so the perception on Brazil on our network is very good. We are working a lot on the coverage, I think we’re getting there both in terms of quality, we are doing very good. So, we are investing in Brazil and I think Brazil will, I feel, personally I feel very comfortable on our strategy in Brazil with our management in Brazil with everything that we are doing in Brazil and it is going to take some time to see better and better numbers. Okay, so that’s my comment on Brazil.
Fred Mendes: Also Daniel thank you very much for the extra color.
Daniel Hajj: Thank you.
Operator: The next question comes from Rodrigo Villanueva, Merrill Lynch. Please go ahead.
Rodrigo Villanueva: Thank you. Good morning Daniel and Carlos. My question is related to Colombia. I was wondering if profitability levels of around 40% are sustainable in this country and what has been driving this? Thank you.
Daniel Hajj : Well I think yes. We used to have 40% and I think we are having, we have a very good cost reductions in taking care about our cost and our expenses in Colombia. Then we are having good growth in the big side in TV, broadband, and it is growing maybe six points of the EBITDA year-over-year. In the wireless, postpaid is also growing our revenues, data is growing very good also in prepaid and postpaid. So, I think we are there and I hope we can sustain and still improve what we have right now.
Rodrigo Villanueva: Understood Daniel, thank you. And I have another question related to Guatemala, there has been some reports suggesting that the AMX has been involved in a corruption case there, could you be able to elaborate a little bit on this, what is the reasoning behind this investigation, is it a government the one that is doing so, any additional color would be helpful?
Daniel Hajj : What I can say is that Guatemala authorities have the terming that certain payments made back in 2011 by our Guatemala subsidiary Telgua did not comply with Guatemala loss governing contributions to political parties. We are conducting right now a review of the circumstances of these payments and we are co-operating with the investigation. Our review is ongoing and at this point, I don't have any further comments on it. So, we are reviewing that and we don't have any more comments.
Rodrigo Villanueva: Understood. Thank you very much.
Daniel Hajj : Thank you.
Operator: The next question comes from Julio Arciniegas, RBC. Please go ahead.
Julio Arciniegas: Yes, hello thanks for taking the question. Coming back to the ARPU evolution and your service revenue evolution across the boards, which actually has been quite good in Mexico and Colombia, just to have a clear view, is the company increasing the prices following more for more strategy that means that or basically does the customer has the optionality to subscribe to this bundles of services or just the company is increasing the price to a specific base in exchange of more for more services? And my second question is, if you could give us more color on the competitive dynamics in Colombia, I see that the market is actually quite stable, do we expect this stability to continue going forward? Thank you.
Daniel Hajj: Well on the first question, I think yes, we are doing promotions more for more, as people pays a little bit more and then you get more peso and this is helping all overall. And the thing that it is helping us a lot is that people are using more and more data. So it is very important that if you have a good network, if people today rely on your network than people use your data and then it is what it is happening. So we are giving promotions as you said more for more, yes. We are giving and people are getting those because they need to use more and more data. In the other side, in prepaid, where we are growing our penetration in the Smart Phones and that is helping us that they drive more data and they pay a little more. So that’s more or less, where megabytes of use across America Movil are growing around $0.84 year-over-year. So it is a lot, so you are, almost doubling what they used to have that they used to use one year ago. So as you could see people are using more and more for more our promotions that we are having.
Julio Arciniegas: So is demand driven? It is not like basically just pricing increases demand driven, this demand.
Daniel Hajj: Demand driven, of course it is demand driven. So price increase, I don't think we have any country where competition let s only increase prices and that’s also I would love to have that, but well unfortunately it is not easy to have a very competitive markets in Latin America. So it’s more for more of course.
Julio Arciniegas: Thank you, and about Colombia.
Daniel Hajj: Colombia, I think as I said maybe one year ago we make some changes in the organization. I think these changes in the organization are helping us. We put a very, very control in the company and very focus [indiscernible] to grow distribution, to grow customer care, attention our customers are a little bit more care centered. So a lot of online also helping us to attend our customers. So, we are evolving very well. We're really focusing on Colombia and I think we can sustain what we achieve at this moment.
Julio Arciniegas: Thank you very much.
Daniel Hajj: Remember that in Colombia we are having a lot of things, a lot on the regulatory side as symmetric interconnection that today is not anymore. And also we have a physical reform on January and well that also it increases the tax end customer like three points from 16 to 19, so when that is reduced, even with that we are performing very well.
Julio Arciniegas: Thank you very much.
Daniel Hajj: Thank you.
Operator: The next question comes from Daniel Federle, Credit Suisse. Please go ahead.
Daniel Federle: Hello, good morning everybody. Could you please provide us with an update on the functional separation plan in terms of timing and which are the main points in discussion? And also if you could comment the chances of including the PayTV license in the negotiation would be very good? And the second question is more like a follow up on the previous question on CapEx. I would like to know if this CapEx reduction has been more concentrated in any specific markets or any specific segments. Thank you very much.
Daniel Hajj: On the separation proposal, just what I can tell you is that it is being reviewed currently by the IFD, by the IFETEL as a group of representatives of Telmex and also from the IFD has been discussing the different aspects of the separation. Telmex is in the process of providing additional information requested by the IFETEL, so at this moment we are presenting and providing more information and we expect the approval process at the IFD will resolve maybe in the fourth quarter of 2017 or the first one of 2018. So, I think that is the timing, I don’t have any else to say that we are providing more information to them and that it is going to go to the fourth quarter or to the first quarter of this year. So that is the - on the PayTV license, we haven’t talked anything on that, we are talking about the separation, but as I can tell you, we - I think in Mexico is the only place where there is no, there is a limitation for the Telco to give TV and doesn’t make any sense and I hope that the IFETEL understand and reveal that and give us the permission to give TV. So that’s what I have. In terms of CapEx, I think and it is very important to remember what we do in the last three years, I think in 2013, 2014 and 2015 we do a very big CapEx investment, okay, with more than $30 billion in three years, maybe $31 billion or $32 billion in three years. So that gives us the reason to do what we are doing today. So still we feel comfortable with the CapEx through revenues and data is growing a lot. So maybe we are going to need to put a little bit more CapEx in the next year, but we don’t know, still we feel comfortable with our budget that we have this year. We are not; of course maybe we are giving a little bit more CapEx to one or other country depending on the demand. Depending on the growth of data. So, all the countries are important and we are focusing in all of them. So, the big investment that we do years ago, we do it all over all Latin America and that give us the support to do what we are doing right now.
Daniel Federle: Perfect, very clear, thank you.
Daniel Hajj: Thank you very much.
Operator: The next question comes from Carlos De Legarreta, GBM. Please go ahead.
Carlos De Legarreta: Thank you for the question. Just very quickly in the U.S., we saw a very important increase in EBITDA margin, you guys also mentioned that without the inorganic growth would actually been higher, so I just want to understand what is the nature of this and if it is sustainable going forward. So that will be the first question please.
Daniel Hajj: . Well on Tracfone, I think as we have been talking as the competition is being important in the prepaid segment in the US but I think Tracfone is performing well. We are being a little bit more profitable than what we do last year. We are at this moment in the end of the second, I think in the third quarter. We haven't been so competitive, but the right now we are competitive of gaining the market. We will launch new plan with more data and that is giving us a - to be more competitive in the market. So, we will feel comfortable on what we are doing in Tracfone. We expect good, in the next two quarters. As we grow more of course it goes directly to the profitability, but we feel that we can achieve a better EBITDA than what we do last year. So, even if we grow as that, we have been doing new agreements with the T-Mobile with Verizon, with everybody all our carriers and that give us the possibility to be more competitive in the market.
Carlos De Legarreta: That's perfect. And the follow-up could be regarding Argentina, what you make of the merger between your competitor [indiscernible] and personnel. I mean, I know you guys are also, will be able to for PayTV by 2018, but how does these moves affect your outlook for the country going forward? Thank you.
Daniel Hajj: Well, what we are going to see is, we're going to have a pleasure that it is conversion, they have a fully integrated competitor and what we're going to do well we are going to need this, we're going to have the permission to get TV as in the beginning of next year and we are preparing the company to do that. So that is at this moment what we can say and we already have some households, we already have some fix in Argentina, with fixed voice and broadband not entirely with fiber. So we are preparing our network growing a little bit our network to do more and more and to have to be able to get in our network TV at the beginning of next year, it is what you could see.
Carlos De Legarreta: Okay, thank you very much for the comments.
Daniel Hajj: Thank you.
Operator: The next question comes from Marcelo Santos, JPMorgan. Please go ahead sir.
Marcelo Santos: Hi good morning thanks for taking the question. I just wondered, if you could comment a little bit more on the Peruvian recovery we see much better margin and there is additions in the prepaid, but postpaid is seeing some declined so if you please give a little bit more detail on what has been the drivers?
Daniel Hajj: Yes, let me make you like a small summary of Peru, I think we have - the last years we have two main things, it is we have one new company entering the market, they bought Nextel, they get in the market and they are being very aggressive. The second one, we lose the auction maybe three years ago, the auction of the spectrum in the - for the 4G license. So for that time the competition has been very strong in terms of subsidies. I think they lose a lot of money, the competitor lose a lot of money giving handsets for free and we haven't been able to give the speeds and the quality of the network because we don't have the spectrum that we need. But in 2016, we buy a company, called Olo, we have the spectrum for 4G, we start to invest. I think the market is much more stable and rational in terms of that. It is also very competitive, but it is more stable and the good thing is in all those these years we did not lose a lot of market share. So, we sustain our revenues, we have the same amount of subscribers that we used to have three years ago, more or less. And well what we need to correct is we have to put all the things that keep us a little bit, some in interconnection rates that goes down, that also keep our revenues so all overall 2016 we invest, we correct some of the things that we have, we put some cost control and today well you could see that Peru is growing 50% EBITDA, as the growing postpaid growing in prepaid, so all the things that are difficult things we used to have three years ago, I think we work very hard on 2016 so 2017 will give us the return on what we have. And I think we can sustain and do better than what we have been doing until today. So it is what Peru, I don't know exactly what is going to happen with the competition in the next month. So it is difficult to say, but the strength that we're having in Peru are very good strength and I hope we can sustain those strengths. So, Carlos wants to give you some numbers.
Carlos García Moreno: I think the point you have highlighted, there is good growth in ARPU, I think ARPU is going to have a 0.5% year-on-year and that I think that this is, as Daniel said much reported by the fact that we have now, that we are not spectrum constrained anymore, so we are providing more services both in voice, okay voice have gone up 21% year-on-year, but also in data, your data expansion in Peru - users have been very significant in Peru. So then in other countries, we have had net growth, we have had invested a lot throughout the year, then all of a sudden we run into a spectrum constraint that has gone away. Now we are benefiting from these past investments and we have a good position in the market.
Marcelo Santos: Thank you very much.
Daniel Hajj: Thank you.
Operator: There is only time for one more question. Coming from Mr. Diego Aragao, Morgan Stanley. Please go ahead sir.
Diego Aragao: Hi good morning Daniel, Carlos, and Daniela. Thanks for taking my question, after the spin-off of your tower business in Mexico; I was wondering if you have any plans to divest from towers in other countries in some time? Thank you.
Daniel Hajj: It is something that we have been asked repeatedly [indiscernible] spin-off and I mean the one reason for doing the [indiscernible] the one that we initially had, we got into it, but less more efficient means of having administering your balance sheet. It is a more capital like, model and that made a lot of sense, but having done it, we know it is very difficult to get through all the tax issues or the legal issues context can be [indiscernible] so it is, I think the short answer is, it is something that we are obviously willing to keep on considering because of the advantages from our balance sheet point of view, but it is also something that it is not easy to get down and we have to see what are the other countries that may lend themselves embedded to these kind of transactions.
Diego Aragao: Okay, thank you. Just quickly, actually a follow-up regarding Argentina, what will be your timeline for you to provide video service in that market? Thank you.
Daniel Hajj: Aragao could you repeat it again, I didn’t hear.
Diego Aragao: I was wondering, how long it will take for you to provide video service in Argentina in 2018?
Daniel Hajj: In January, when we have the permission I think we can be ready to give TV, okay. So we already have fiber to some houses and we have the technology with other countries. So, I think in January we can start to give TV, when they, we have the right to do it, we can do it.
Diego Aragao: Okay, perfect. So, I would assume that probably this is the same case as of Mexico, right. If you get a license in Mexico, probably on the very next day, you will be able to provide video service as well.
Daniel Hajj: Yes, not on the very next day, but yes we can provide the video to verify.
Diego Aragao: Okay perfect, thank you very much.
Daniel Hajj: Thank you very much.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Daniel Hajj, for any closing remarks.
Daniel Hajj: Just thank you for everybody for being in the call and…
Daniela Lecuona: And we just want to remind everyone that we're hosting an Investor Day this year is going to be held in Mexico City on October 11. The link to register for the event will be available in the next couple of days. It will be by invitation. So if you have not received one, please feel free to contact myself or anyone from the team [indiscernible] and we will be helping out on this. And hope you could join us.
Daniel Hajj: Okay. Thank you. I think you will send all the details to them. Thank you very much.
Carlos García Moreno: Thank you all. Goodbye.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.